Operator: Thank you for standing by, and welcome to the First Merchants Corporation Second Quarter 2025 Earnings Conference Call. Before we begin, management would like to remind you that today's call contains forward-looking statements with respect to future performance and financial condition of First Merchants Corporation that involve risks and uncertainties. Further information is contained within the press release, which we encourage you to review. Additionally, management may refer to non-GAAP measures, which are intended to supplement but not substitute for the most directly comparable GAAP measures. The press release available on the website contains financial and other quantitative information to be discussed today as well as reconciliation of GAAP to non-GAAP measures. As a reminder, today's call is being recorded. I will now turn the conference over to Mr. Mark Hardwick, CEO. Mr. Hardwick, you may begin.
Mark Hardwick: Good morning, and welcome to First Merchants' Second Quarter 2025 Conference Call. Thanks for the introduction and for covering the forward-looking statement on Page 2. We released our earnings yesterday after the close of the market, and you can access today's slides by following the link on the third page of our earnings release. On Page 3 of our slides, you will see today's presenters and our bios, including President, Mike Stewart; Chief Credit Officer, John Martin; and Chief Financial Officer, Michele Kawiecki. On Slide 4, we have a map of all 111 of our banking centers and some second quarter financial highlights with a few of the awards that we've received recently. On Slide 5, our strong balance sheet and earnings results reflect the type of performance First Merchants shareholders have come to expect. We delivered 9.1% annualized loan growth and $0.98 of earnings per share. Return on assets totaled 1.23% and our efficiency ratio was 54%, which is consistent with the high-performance company we strive to be. Second quarter net income was $56.4 million, an increase of $17 million or 43% from a year ago as credit quality returned to our normal healthy levels. This improvement supported a significantly lower provision for credit losses of $5.6 million compared to $24.5 million in the second quarter of 2024. Year-to-date net income totaled $111.2 million, an increase of $24.3 million or 28% from the first half of 2024, while earnings per share totaling $1.92 or $1.92 increased $0.44 or 30% during the same period. We also repurchased an additional $22.1 million worth of shares this quarter. And year-to-date, we've repurchased $31.7 million with an average price of $38.68. Our tangible common equity of 8.92% is above our target level and provides optimal capital flexibility given the minimal reliance on hybrid equity that's available to us if needed. Now Mike Stewart will discuss our line of business momentum.
Michael Stewart: Thank you, Mark, and good morning to all. Our business strategy summarized on Slide 6 remains unchanged. We are a commercially focused organization across all these business segments and our primary markets of Indiana, Michigan and Ohio. So, let's turn to Page 7. And as Mark stated earlier, this was a great quarter of loan growth across all those segments and across all the markets. It's very pleasing to see our Midwest economies continue to expand. Our clients' businesses continue to grow and see our bankers continuing to win new relationships. $262 million of commercial loan growth for the quarter, that's over 10% annualized. $430 million of loan growth year-to-date, that's 9% annualized. CapEx financing, increased usage of revolvers, M&A financings and new business conversion are the primary drivers of all this growth. Another pleasing bullet point on this page is the quarter ending pipeline, which is consistent with prior quarter end and gives me optimism that we will be able to maintain loan growth and increasing market share activities through the third quarter. The consumer segment also shared in the balance sheet growth with residential mortgage, HELOC and private banking relationships driving the $36 million of loan growth for the quarter. Pipelines for these segments also ended consistent levels to the end of March. So, we can turn to Slide 8 and review some deposit activity. The commercial segment was the driver of our deposit growth during the quarter, $347 million in total. Commercial businesses have been using their cash to support their working capital needs, which reduced the core or operating account balances noted under the second bullet point. Increasing revolver usage is the corollary of lower operating account balances. Tax receipt collections were the primary driver of the public fund balance increases noted under the third bullet point. For the quarter, our Consumer segment experienced declines in both the non-maturity and maturity categories. We have continued our pricing discipline within our consumer segment, specifically maturity deposits and remain hyper focused on relationships versus single product users. Households continue to grow both during the quarter and year-to-date and as the next to the last bullet point on the page says, non-maturity deposit balances have increased $108 million year-to-date. This is our lowest cost deposit category. The mix of deposit categories has been the focus of our teams for the past year. It is a focus on primary core accounts and the focus of deposit costs in general. So overall, I'm really pleased with the active engagement our teams are having with their clients as we manage the mix and deposit costs. So, I'll turn the call over to Michele, and she can review in much more detail the composition of our balance sheet and the drivers on our income statement. Michele?
Michele Kawiecki: Thanks, Mike, and good morning, everyone. Slide 9 covers our second quarter performance. Total revenues in Q2 were strong with meaningful growth in both net interest income of $2.7 million and noninterest income of $1.3 million. We continue to demonstrate exceptional discipline in expense management, which added to the performance this quarter with an overall result of pretax pre-provision earnings of $70.7 million. Slide 10 shows our year-to-date results. Lines 1 through 3 at the top of the page show that we continue to grow the balance sheet towards a more favorable earning asset mix, reducing the lower-yielding bond portfolio by $372 million during the last 12 months and growing higher-yielding loans by $654 million. Looking at lines 11 through 14, total revenue grew nearly 4% when comparing year-to-date 2025 to the same period in 2024, while expenses declined, creating meaningful operating leverage. Pretax pre-provision earnings totaled $138.1 million, reflecting growth of 7.3%. Those earnings fueled a $2.80 increase in tangible book value to $27.90, which is an increase of 11.2% when compared to the same quarter last year. Slide 11 showed details our investment portfolio. Expected cash flows from scheduled principal and interest payments and bond maturities through the remainder of 2025 totaled $141 million and $282 million for the next 12 months with a roll-off yield of approximately 2.17%. We plan to continue to use this cash flow to fund loan growth rather than reinvest in bonds given the loan pipeline is strong, as Mike mentioned in his remarks. Slide 12 covers our loan portfolio. The total loan portfolio yield increased by 11 basis points to 6.32%. This increase was primarily driven by loan originations and refiâ€™s this quarter at an average yield of 7.04%, which was up 8 basis points from last quarter. The allowance for credit losses is shown on Slide 13. This quarter, we had net charge-offs of $2.3 million and recorded a $5.6 million provision. The reserve at quarter end was $195.3 million and the coverage ratio was 1.47%, consistent with last quarter. In addition to the ACL, we have $15.4 million of remaining fair value marks on acquired loans. When including those marks, our coverage ratio is 1.58%. The level of provision was driven by improvement in nonperforming loans, changes in the macroeconomic forecast and robust loan growth. Slide 14 shows details of our deposit portfolio. The total cost of deposits increased 7 basis points to 2.3% this quarter, reflecting increasing competitive deposit dynamics that we experienced in our markets. On Slide 15, net interest income on a fully tax equivalent basis of $139.2 million increased $2.8 million from prior quarter. Net interest margin on Line 6 totaled 3.25%, an increase of 3 basis points this quarter. The yield on earning assets increased meaningfully by 11 basis points and was partially offset by the increase in funding costs. Next, Slide 16 shows the details of noninterest income. Noninterest income totaled $31.3 million with customer-related fees of $29.4 million. Customer-related fees increased on a linked-quarter basis in all categories with the largest increase from gains on the sale of mortgages, followed by treasury management fees. These fee categories were also $1.6 million higher than the second quarter of last year, reflecting great momentum from our fee-based businesses. Moving to Slide 17. Noninterest expense for the quarter totaled $93.6 million, a very modest increase over prior quarter of only $700,000, primarily from higher marketing spend and higher data processing costs, which was driven by increased loan origination expense. Our expense discipline has allowed us to maintain our low efficiency ratio, which was 53.99% for the quarter. Slide 18 shows our capital ratios. Over the last 12 months, the tangible common equity ratio has grown 65 basis points to 8.92%, while returning capital to shareholders through $36.2 million in share repurchases and dividends paid of $82.3 million. We remain well capitalized with the common equity Tier 1 ratio at 11.35%. These capital levels, along with our robust allowance for credit losses coverage continue to reflect the safety and soundness of our financial position. That concludes my remarks, and I will now turn it over to our Chief Credit Officer, John Martin, to discuss asset quality.
John Martin: Thanks, Michele, and good morning, everyone. I'll begin with an overview of our loan portfolio performance for the second quarter on Slide 19. In Q2, we saw balanced loan growth across the portfolio with a $298 million increase quarter-over-quarter or 9.2% annualized and $654 million year-over-year or 5.2%. C&I lending grew by $147 million this quarter, continuing its strong momentum. Commercial real estate added $36 million, reflecting steady demand and disciplined execution. Our Midwest footprint remains core with 82.7% of borrowers located in our 4-state region, and we continue to manage CRE exposure well within regulatory limits, preserving capacity for selective high-quality opportunities. Turning to Slide 20. Our sponsor finance portfolio continues to perform well with $867 million in outstandings across 95 companies in diverse industries. Credit metrics remain solid. Nearly [ 80% ] of borrowers have senior leverage under 3x and 70% maintain fixed charge coverage ratios above 1.5x. Losses remain minimal with just $15.3 million over a 10-year history on $1.9 billion in funded loans through Q2. We also continue to manage our shared national credit exposure prudently with $1.1 billion across 88 borrowers, primarily in wholesale trade, agriculture and manufacturing. On the consumer side, underwriting and credit quality remains solid. Over 95% of our $710 million in consumer loans had credit scores above 669 at origination. Similarly, 91% of our $1.9 billion residential mortgage portfolio met that same threshold. Turning to Slide 21. Our investment real estate portfolio now stands at roughly $3 billion. Within the non-owner-occupied office, we continue to monitor our exposures closely. The top 10 loans represent 53% of total office exposure with a weighted average loan-to-value of 63.6% at origination. The largest office loan is $25 million secured by a single-tenant mixed-use property at 67.2% loan-to-value with the second largest being $24.4 million in a medical office facility. Turning to Slide 22. Asset quality remains stable. Our net charge-offs were just 0.07% of average loans annualized. The largest nonaccruals this quarter include a $12.9 million multifamily construction loan, a $6.8 million brewery and a $6 million nursing home. These are isolated cases, and we are actively working through resolution strategies. Then finally, turning to Slide 23 on nonperforming assets. We saw a $22 million payoff of our previously nonaccrual construction loan. The largest new nonaccrual was the $12.9 million multifamily construction loan mentioned earlier. ORE declined by $4.8 million, reflecting continued progress in nonperforming asset resolution. And then overall, our credit portfolio continues to perform well with strong underwriting discipline and proactive risk management. I appreciate your attention. I'll now turn the call over to Mark Hardwick.
Mark Hardwick: Thanks, John. Turning to Slide 24. The compound annual growth rate of tangible book value per share on the bottom left continues to grow at a healthy 7% level post dividends, post buyback and post acquisitions. Tangible book value per share also increased by 8.5% when adjusting for the impact of unrealized gains and losses of the available-for-sale securities portfolio. Slide 25 represents our total asset CAGR of 11.7% during the last 10 years and highlights how acquisitions have improved our footprint and fuel growth. We believe in accretive M&A, but it's important to note that we focus on organic growth first. We are very selective when it comes to mergers and acquisitions, and April 1 marked the 3-year anniversary of our last acquisition. As we look forward to the remainder of 2025, we expect more of the same strong performance. Thanks for your attention and investment in First Merchants, and we are happy to take questions at this time.
Operator: [Operator Instructions] Our first question comes from Daniel Tamayo with Raymond James.
Daniel Tamayo: I guess maybe we can start on the margin, if you don't mind. Maybe for you, Michele, I think you talked about it a little bit, but the funding cost pressure seemed like it was pretty steep in the quarter, driving some increase in funding costs. Wondering if you could talk a little bit about that, what you're seeing going forward there in terms of competition and expectation on the funding costs? And then any color or guidance you might have on margin overall?
Michele Kawiecki: As Mike mentioned in his remarks, we saw our customers utilizing their cash this quarter, and we had really strong loan growth to fund. So we did see deposit costs rise a little bit. And I do think that, that will put some modest compression in margin in the back half of the year compared to this quarter.
Daniel Tamayo: Okay. All right. And then you talked a lot about the strong loan growth and the expectations for that to continue. I guess I'm just curious, is that in your opinion, is a lot of that just kind of core? We're back in the environment where these businesses are investing. It sounds like that's the case, but I just want to kind of make sure that, that's not pull-through from earlier in the year where some of the borrowers were on hold.
Mark Hardwick: That's a good question. I view it as core, working right through direct client growth in their plans, meeting their expectations. When I think about your -- is there a pull-through, we did talk about what did potentially like the tariffs mean with people being calculated in how they wanted to proceed as they move forward. Maybe there's a little bit of pull-through in that. But really, when you look at the activity, as I looked at the activity across the board, it just seemed very normal course.
Michael Stewart: Yes. And I think, Daniel, the only other place that I -- when I think about pull-through might have been we saw a little bit higher line utilization where people might have been drawing down on revolvers or credit facilities to kind of front-end expected tariffs, but that has added a little bit to outstandings in the quarter.
Operator: [Operator Instructions] Our next question comes from Terry McEvoy with Stephens.
Terence McEvoy: Maybe just a question on fees. One, I noticed just wealth management fees kind of flat year-over-year and S&P is up, call it, what, 15%, 16%. And I wonder what the outlook was for Wealth Management. And overall, Michele, what are your thoughts on total fee income in the back half of the year?
Michele Kawiecki: Well, I'll address our expectations on total fee income and maybe let Mike jump in and talk more specifically on wealth management. But I would expect to see noninterest income grow into the mid-single digits in the back half of the year. At the beginning of the year, we thought that we might have a bit more of a favorable rate environment for mortgage borrowers. But frankly, the decline in mortgage rates has been so modest so far this year, and so it hasn't spurred as much activity as we had expected. But that being said, we do expect to see growth in fees through the remainder of the year. And Mike, do you want toâ€¦
Michael Stewart: To your point, there's 4 primary categories that are private -- the fee categories that our private wealth team works through. And when I think about the investment management, wealth management, which, to your point, is tied to that, it saw the growth. But when you think about some of the other categories, retirement plan services, as an example, our private banking, those fees were relatively flat to your point. So, it just muted some of those [ corollary ] into the market. But like Michele said, view that as still a primary driver of our fee income growth in that category going forward.
Terence McEvoy: And then maybe just taking a step back, Mark, I think last year, you completed 5 technology upgrades. Are there any examples or data points you could point to in the first half of the year where the bank benefited from those actions? And just kind of remind us longer term, what are the benefits of those tech initiatives?
Mark Hardwick: Yes. We had a big year last year from the completion of a voluntary early retirement all the way through the tech projects and even a restructuring of the commercial bank at the end of the year. And this year, from a tech standpoint, we've deployed some internal technology. So last year was more about customer-facing tech. This year is more internal. You think about like a Customer 360 view and having dashboards in the hands of our bankers, et cetera. And the investment was around making sure we could open accounts faster in the branch network, allowing our teams to be more active calling than just spending 45 minutes trying to open account. That's down to 5 or 10 minutes. Our treasury management platform was a significant upgrade. And, so, our calling efforts on the commercial side in the treasury space have been increased. We have a better product to sell. And then on the private wealth side, we invested in a new PWA platform or private wealth platform. And it's given that team a much better product to sell. And, so, I think we're having success. We're continuing to -- to highlight the products, and we're also doing modest improvements. So, we kind of -- we converted all those where it was kind of whatever we had before is kind of how it transitioned over. And I would say there were some enhancements, but now we're going through a checklist of just saying what other feature functionality can we turn on. And as we turn the feature functionality on, it just gives us even a better product to sell. So, I think our teams are armed with customer platforms that our customers love, and it gives our bankers product to sell. And there really are -- nothing is inferior at this point where we have to go to market and kind of sell through an inferior product. We're selling with a product that's at least on par with everyone else we compete with. So that was part of how we built the plan and why we still remain bullish across all the segments.
Terence McEvoy: Appreciate that, Mark. And just one for John. The decline in classified sponsored finance loans was noted on my end. Just wanted to make that observation and thanks for providing those details.
Operator: [Operator Instructions] Our next question comes from Brendan Nosal with Hovde Group.
Brendan Nosal: Maybe just starting off here on capital. You folks have been really active on the capital front over the past 2 years between almost $100 million of sub debt redemptions and very active use of the buyback. Just to the extent that you continue to generate excess capital even after supporting loan growth, what are your latest thoughts on deployment?
Mark Hardwick: Yes. We still kind of have the same mindset. We use 1/3 of our earnings to support balance sheet growth, about 1/3 for dividends and the other 1/3 are for kind of other capital activities, and it might be redemption of sub debt, repurchase of shares, cash and acquisitions, et cetera. And so yes, you're right, we've redeemed all the sub debt that we really have available to us at this point. And given where the stock was trading early this year, we've been pretty active in buybacks. And we're not opposed to accumulating some additional capital to put to use in an acquisition at a later date. But at least so far, we feel like there have been great uses for that capital. And as our stock price works its way further north, I think we'll be less aggressive with buybacks.
Brendan Nosal: Okay. All right. Maybe just turning to the funding base and just looking specifically at brokered funding. I think the total is up to $1.2 billion now or like 8% of the base. Just kind of curious how high you're comfortable taking use of that funding source? And is there any point at which that starts to become a bit of a constraint on the balance sheet?
Michele Kawiecki: Yes. Typically, we kind of have an internal threshold of about 10%, and we typically won't go above that on brokered. And, so, there's probably a little room there. But looking at brokered quarter-over-quarter, we really didn't have much growth -- and we look to our teams to make sure that they're getting that core funding that Mike mentioned in his remarks.
Brendan Nosal: Okay. Perfect. I'm going to sneak one more in there. Just maybe going back to capital. I know you get the M&A question all the time, but I think it's worth asking again just given the pickup in deal activity we've seen over the past few weeks. So, Mark, I would just love your read on the environment and how much price discovery you think there is between buyer and seller and whether you think the banks of the target size you desire are any closer to raising their hands?
Mark Hardwick: Well, there's clearly been movement and even some speculation across the industry around M&A. The conversations have been robust for a period of time. They're a little easier now because some of the modeling does produce meaningful gains or premiums, I guess, I should say, for the sellers. And, so, I think the environment is good for M&A, and we continue to just stay close to the ones that we're most interested in. And like I said in my previous comments, we're -- our day job is 100% focused on organic growth. And then the inorganic process is -- there's a lot of one-on-one time with the executive teams of the banks that we're interested in and just trying to stay close that if they're ready, that trying to figure out if there's a price that makes sense that works for both parties.
Operator: [Operator Instructions] Our next question comes from Nathan Race with Piper Sandler.
Nathan Race: Michele, going back to your margin commentary, I think you mentioned that you expect some pressure in the back half of this year, just given some further expected increases in deposit costs. I guess I was a little surprised just given how much cash flow is coming off the [ bond book ] to redeploy into loans. It sounds like you're still growing loans at a pretty good clip and it seems like those loans are coming on 70 basis points above your portfolio yield. So, we're just curious if you can maybe elaborate a little bit more on that margin commentary and just how you see the sensitivity of the balance sheet to any Fed cuts in the back half of this year?
Michele Kawiecki: Yes. I don't -- assuming that we have a flat rate environment, maybe I'll start there. Assuming we have a flat rate environment, I wouldn't think that the margin compression, I think it would be fairly modest. It really depends on our deposit competition. We've seen deposit competition really heat up. Specials are getting higher, and we have to compete with that, especially if we have 9% loan growth like we did this quarter, we do need to fund it. And so I think it kind of depends a little bit on those market dynamics in terms of the amount of compression just based on growth alone. Now if the Fed does cut rates, we do have -- still have a bit of an asset-sensitive balance sheet. And, so, I think with each rate cut on an annualized basis, I would expect about 2 basis points of compression for each 25 basis point rate cut. And, so, if we get a couple of rate cuts in the back half of the year from the Fed, there will be a little bit of compression just due to asset repricing a little faster than our deposits as well.
Nathan Race: Okay. Got it. I apologize, I jumped on a little late, but just curious to get some updated thoughts on just where the pipeline stands and kind of just overall production levels. And I know it's difficult to predict payoffs, but just any thoughts or visibility in terms of how you're thinking about payoffs relative to production levels in the back half of this year?
Mark Hardwick: Yes, we did talk about that a little bit earlier, which the pipeline results in the commercial book of business is consistent with prior quarters. So that's an outlook where I would think that we would continue to grow with our clients as their needs grow or if we're taking market share grow in that respect. If you break that down a little further, core C&I has really been kind of a driver of that most recently. Our real estate production is really good, too. It's just -- that's what's getting offset with the normal course payoffs. So, the portfolio isn't necessarily growing on investment real estate like the C&I is, but the production level is really good there. The pipelines inside consumer mortgage and private wealth, that they're strong, but that's really not a balance sheet growth driver. That's really more of a fee income, but we'll see some good activity there as well.
John Martin: Yes. Can I just jump in for a second. I love what's happening with our balance sheet. We're seeing really nice growth. And even from a margin standpoint, it's like let's just maintain where we are. And I was thrilled that loan yields were even higher this quarter than they were last quarter. Deposit pressure is real. And our focus is on making sure we're growing our least expensive categories, which is challenging, but it's clearly a focus of our teams. And as we move forward, I feel like whatever happens on the margin front is going to be modest relative to where we are this quarter. And I feel like the loan growth and deposit growth that's occurring just allows us to continue to grow net interest income. So at least that's how we're thinking about it internally. It's kind of how it's in our plan and the message, I guess, that I would -- I hope would get across to investors.
Nathan Race: Got it. That's very helpful. And I appreciate that, Mark and John. Maybe one last one for me. I think you touched on kind of fee income growth outlook going forward. But just curious within that, how we should think about that other line? I know there was some CRA investment impacts this quarter, but just any thoughts on kind of that other fee income line, just given how much it's fluctuated over the last several quarters?
Michele Kawiecki: I mean if you're referring to the nonclient-related fees, is that what you're looking at, Nate?
Nathan Race: Yes. Just when I look at the income statement, it was pretty much 0 for other fee income this quarter. So just any thoughts on that revenue line in particular?
Michele Kawiecki: Yes. I mean I would probably back out the valuation adjustment that we had, which was about $900,000. That's fairly unusual for us to have something like that on a CRA investment. And then on a go-forward basis, I feel like this quarter with the absence of that would be a decent run rate to use.
Operator: [Operator Instructions] Our next question comes from Damon DelMonte with KBW.
Damon Del Monte: First question on the outlook for expenses. Good job of keeping them in check here in the second quarter compared to the first quarter. Michele, just kind of wondering what your thoughts are here on the back half of the year as far as kind of a quarterly run rate?
Michele Kawiecki: Yes. Our expense levels have been really well managed this year, and I think we'll continue to manage them well through the back half of the year. There may be a very modest increase in expenses in Q3, Q4, I would say, maybe 1% to 2% as we refine our incentive accruals and carry out some of our marketing initiatives, things like that. But the levels of expense management are going to continue.
Mark Hardwick: Yes. We've really -- some of our optimism in the loan growth of the loan book going forward has a lot to do with just the addition of bankers. I mean we -- Mike, you didn't mention it, but we've brought in, what, 4 people out of JPMorgan's asset-based lending group. And they've all started -- well, 3 of the 4 have started this quarter. And we were anticipating an additional hire in the second half of the year. We're kind of at the offer point with someone in our Ohio market. And we just continue to add talent. I think about the folks that we brought in on the private wealth side in Fort Wayne, the individual we hired to run our small business lending function across the entire franchise. And most of those expenses are embedded, but we've got some that will increase. So as Michele talks about the expense run rate, those are the only areas where I feel like it puts some pressure on us. And the return of some of that is in the future as loan growth occurs after these folks work through non-competes, et cetera. But I feel like that's investment that just gives us incredible confidence about our ability to maintain the growth rates like mid- to high single digits we talk about all the time, not only the second half of this year, but into the future.
Michael Stewart: I'm glad you brought that up, Mark. Some really smart key people additions across many different which is normal for us, but this year has been kind of exceptionally positive in some key areas. And the small business one you referenced is really as much a deposit play as anything. So we're retooling some of our approach on the low end. So it's a wonderful mix across the way of fee income and balance sheet.
Mark Hardwick: Yes. That small business, we moved it into the consumer bank, and it was, what, $875 million of deposits and only $30 million or so of loans. I may have the number right -- that's about right. And we're excited about what we think the future could be. And to truly optimize it, we just thought that it made sense for us to bring someone in from one of the big regionals, and we're thrilled with the momentum. And that's kind of the case in all of the different ones that I mentioned. I probably shouldn't have highlighted JPMorgan specifically, but we picked up those 4 bankers. It was a huge win for us, and we're excited about what it can do for the future.
Damon Del Monte: Got it. I appreciate all that color. And then I guess just a second question here on kind of the credit and provision outlook. With the expected growth that you're anticipating here in the back half of the year, do you feel like this quarter's provision level is kind of a good bogey for the next couple of quarters? Or do you think this quarter was a little bit higher?
Michele Kawiecki: I don't know that this quarter is a little bit higher. We had -- certainly, we're providing for growth, as we've always said, and we'll continue to do that, probably at the level of the coverage ratio that we have today. It just kind of depends on whether the -- we've got to make adjustments for the macroeconomic outlook. And, so, in Q2, of course, the unemployment rate forecast required more provision, but then that also got offset with some of the asset quality improvement that we saw. And so I think going forward, presuming that the macroeconomic forecasts are pretty stable, I think we'll just continue to provide for the growth that we see in our balance sheet.
Operator: [Operator Instructions] Our next question comes from Brian Martin with Janney.
Brian Martin: Just a couple. Michele, you answered most -- everything on the margin. But just in terms of the cost of deposits, I guess your expectation is that trends up from here. And I guess I understand it may be incremental based on -- and that's kind of assuming you said to your point earlier about no changes from the Fed right now, kind of a stable rate environment that the -- given the loan growth, the competitive factors, that should just drift a bit higher in the back half of the year?
Michele Kawiecki: It could. It really depends on, I think, the deposit competition. And how we compete in our markets. And that -- it's difficult for us to give you like a real prediction on that.
Mark Hardwick: Yes. And I thought this was some of our commercial balances decline and our line of credit usage went up, which meant we had to go find some funding that was a little more expensive than what our commercial customers just carrying balances were paying.
Brian Martin: Got you. Okay. And then maybe how about just on the fixed rate loan repricing, Michele, can you remind us what that is, whether, I guess, the back half of the year or next 12 months, what you may have on that front?
Michele Kawiecki: Yes. Sorry, I'm just trying to.
Brian Martin: That's right. I can ask one other question for someone else where you look at it if you want to. Just -- I was going to ask, John, just from the tax legislation being passed, some of your optimism on loan growth on the C&I side, does it -- I guess are you hearing from your customers on the new tax legislation that gives you more optimism on loan growth as well? And then just same point, the people -- the recent hires you've added, can you just comment or if you said it, kind of when these people are on board? It doesn't sound like they've contributed yet, but just to be clear on that.
John Martin: I'm going to defer some of -- you got kind of half and half, Brian. That was Mike Stewart answering the questions about the hires, et cetera. I think from the optimism through the portfolio, look, with the incremental benefits to customers as a result of the bill, it should help to buffer some of the other policy things that have happened as it relates to tariffs and the other moves that have been proposed in the first half of the year. So it creates a lot of, I'll say, a lack of clarity as to exactly what's going to happen. And, so, it's hard to tell. There's no question that the bill itself should be -- should help and provide optimism to our customers, though.
Michael Stewart: We're operating in the Midwest, and the Midwest right now has really good economic growth, and we're taking advantage of that. Our businesses, clients' business models are growing, and they're doing all the right things. We get to review their income statements and their balance sheets and their margins, and they seem to be holding up well and they're investing in their business. We take market share. So that helps the growth. And to your last point on people, you're right. Strategic hires have been happening through the course of this year and the expected inputs or the expected gains on what they can bring to our bank have yet to materialize. So that helps us with mix and balance and keeping connected in the whole spectrum of what we think is opportunities for First Merchants.
John Martin: Yes. And this isn't perfect, but we probably had 5 meaningful hires on the sales side in the first half, and we have 5 more in the second half.
Michele Kawiecki: Brian, I do have my notes now on the fixed rate loans. And, so, in the back half of 2025, we've got about -- maybe about $200 million of fixed rate loans that are going to reprice that are currently sitting at about 5%.
Brian Martin: Okay. And probably a similar level as you look out over the 12 months, I mean just kind of double that is kind of what you'd be thinking?
Michele Kawiecki: Yes, yes.
Brian Martin: Okay. Got you. And then just the last one for me was just on the tax rate, just housekeeping, if the kind of current level is a good level to think about?
Michele Kawiecki: It might creep up a little bit. I'd say it more -- I would plan for it to approach maybe 13% in the back half of the year.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back over to Mark Hardwick for any further remarks.
Mark Hardwick: Yes, Kevin, thank you for hosting today. We just appreciate all the participation by our analysts and investors and look forward to the second half of the year and talking to you in another 90 days.
Operator: Thank you. This concludes today's conference. Thank you for your participation, and have a great day. You may now disconnect.